Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the OpenText Corporation Third Quarter Fiscal Year 2013 Financial Results Conference Call. [Operator Instructions] This conference is being recorded today, Wednesday, April 24, 2013. And I would now like to turn the conference over to Mr. Greg Secord, Vice President of Investor Relations. Please go ahead, sir.
Greg Secord: Thank you, and good afternoon, everybody. I'd like to start the call off by reading of our Safe Harbor statement. Please note that during the course of this conference call, we may make statements relating to the future performance of OpenText that contain forward-looking information. While these forward-looking statements represent our current judgment, actual results could differ materially from a conclusion, forecast or projection in the forward-looking statements made today. Certain material factors or assumptions were applied in drawing any such conclusion or while making any such forecast or projection as reflected in the forward-looking information. Additional information about the material factors that could cause actual results to differ materially from the conclusion, forecast or projection in the forward-looking information and the material factors or assumptions that were applied in drawing the conclusion while making the forecast or projection as reflected in the forward-looking information, as well as risk factors that may affect the future performance and results of OpenText, are contained in OpenText's Form 10-K and Form 10-Q, as well as in our press release that was issued earlier today, each of which may be found on our website. We undertake no obligation to update these forward-looking statements unless required by law. In addition, our conference call will include a discussion of certain non-GAAP financial measures. Reconciliations of all non-GAAP financial measures to their most directly comparable GAAP measures have been included in today's press release, which may be found on our website. With that, I'd like to welcome everybody to the call. With me today is OpenText President and CEO, Mark Barrenechea; as well as our CFO, Paul McFeeters. As with previous calls, we'll read prepared remarks, followed by a question-and-answer session. The call will last approximately 1 hour, with the replay available shortly thereafter. I'd also like to direct investors to the Investor Relations section of our website, where we've posted an updated PowerPoint that will be referred to in the call. We've also posted a summary table highlighting OpenText's historical trend and financial metrics. And with that, I'll hand the call over to Paul McFeeters.
Paul J. McFeeters: Thank you, Greg. Turning to the financial results, I will highlight our third quarter of fiscal year 2013. Total revenue for the quarter was $337.7 million, up 15.5% compared to $292.3 million for the same period last year. Regionally, the Americas contributed 53.1%; EMEA, 37.3%; and Asia Pacific, 9.6%. License revenue for the quarter was $69 million, up 13.3% compared to $61 million reported for the same period last year. We saw our license revenue broken down by vertical sector as 19% from services, 18% from technology, 15% from consumer goods, 12% from financial services, 12% from basic materials, 10% from public sector, 6% from utilities, 5% from industrial goods and 3% from health care. Cloud services revenue was $44.4 million for the quarter compared to $46.2 million in the second quarter. Customer support revenue for the quarter was $166.6 million, up 0.3% compared to $166.1 million in the previous year. On a constant-currency basis, customer support revenue grew by 2%. Professional Services and other revenue in the quarter was $57.7 million, down 11.8% compared to $65.3 million in the same period last year. Professional Services margins were 16.3% in the current quarter versus 19.5% in the same period last year. We expect the margins to improve in Q4. And year-to-date, our Professional Services margins are 22.5%, up from 20.3% year-to-date in fiscal '12. The Q3 impact of this from our internal targets had a negative $0.06-per-share impact on EPS. Gross margin for the quarter before amortization of acquired technology was relatively stable at 71% for both the current quarter and the same period last year. Pretax adjusted operating margin before interest expense and stock compensation was $90.4 million this quarter, up 23% compared to $73.6 million in Q3 last fiscal year. Adjusted net income increased by 25% to $74.2 million this quarter, up from $59.2 million in Q3 of the last fiscal year. On a year-to-date basis, adjusted net income was $244.4 million compared to $201.2 million in the same period last year, an increase of 22%. Adjusted EPS was $1.26 per share on a diluted basis, up from $1.01 per share in Q3 of the prior fiscal year, an increase of 25%. Operating cash flow for the quarter was $116.8 million compared to $96.6 million in the same period of the prior fiscal year. On a year-to-date basis, operating cash flow was $253.3 million compared to $186.6 million in the same period last year, an increase of $66.7 million or 36%. The sequential affect of foreign currency movement on adjusted EPS for Q3 was a positive $0.02. On a year-over-year basis, foreign currency had a negative impact of $0.01. The adjusted tax rate for the quarter was 14%, the same as it was last fiscal year. On a GAAP basis, income from operations before interest and taxes for the third quarter was $40.9 million, up 50% from $27.3 million in the third quarter last year. GAAP net income before taxes was $37 million in the current quarter versus $20.7 million in the same period last year. Net income for the third quarter, in accordance with GAAP, was $25.8 million or $0.44 per share in a diluted basis compared to $34.8 million or $0.59 per share on a diluted basis for the same period a year ago. This year-over-year reduction in GAAP net income was entirely due to the impact of certain onetime tax benefits realized in Q3 of fiscal 2012 that were not repeated in the current quarter. There are approximately 59.1 million shares outstanding on a fully diluted basis for the third quarter of fiscal 2013. On the balance sheet at March 31, 2013, deferred revenues were $308 million compared to $286.6 million as of June 30, 2012 and $303.5 million as of March 31, 2012. Accounts receivable was $174.6 million compared to $153.6 million at June 30, 2012 and $176 million as of March 31, 2012. Days sales outstanding were 47 days at March 31, 2013, compared to 48 days as of June 30, 2012 and 54 days as of March 31, 2012. At March 31, 2013, our headcount was approximately 5,100, comprised of 1,300 in R&D; 240 in cloud services; 740 in customer support; 970 in professional services; 1,100 in sales and marketing; and 750 in G&A. Our Board of Directors approved the policy to declare quarterly noncumulative dividend of $0.30 per share. The record date for this quarter's dividend is May 31 and the payment date is June 21. On April 23, 2013, we entered into a settlement on a legacy EasyLink litigation matter relating to a patent infringement lawsuit filed by j2 Global, Inc. The terms of the settlement include a onetime fee of $27 million, which, after-tax, equates to a $16 million financial statement adjusted to goodwill. This amount was booked to the purchase price allocation for EasyLink and did not have an income statement impact. We disclosed the existence of this litigation in our previous 10-Qs. On March 5, we acquired Resonate Technologies Limited, a company based in Cardiff, U.K., for $20 million. Prior to acquiring Resonate, we were their primary customer, reselling their products. Thus, their revenue was mostly from OpenText and the consolidated impact of the acquisition will mostly affect our cost of sales and not revenues. In our operating model, the full details of which are available on our website, we show our expected annual operating net margin to be in the range of 26% to 30%. For fiscal 2013, we expect our adjusted operating margin to be in the upper end of that range. Now I'll turn the call over to Mark.
Mark J. Barrenechea: Thank you, Paul, and welcome, everyone, to our fiscal '13 Q3 earnings call. We are committed to delivering value to our stockholders through technology innovation, strategic acquisitions and, now, through a dividend program. Over the last 12 months, we have generated $333 million in operating cash flow and we're running our business at record operating margins. We have always been committed to rewarding our stockholders' investment in OpenText and the board has decided that it's the right time to adopt a quarterly dividend program and announced a $0.30-a-share dividend. On an annual basis, this is roughly equivalent to 20% of our annual cash flow. We have built-in engine at OpenText that delivers superior cash flows and value. Today's dividend program announcement is a clear indication of the company's confidence in our financial model, EIM strategy and execution. On to the quarter. Within Q3, we generated $338 million in revenues, up 16% year-over-year. Adjusted net income was $74 million, up 25% year-over-year. We generated a record cash flow of $117 million, up 21% year-over-year. Our fiscal 2013 target model range for adjusted margins is 26% to 30% and we expect to finish the full fiscal year at the upper end of this range. Adjusted EPS was $1.26, up 24.8% year-over-year. Further, we delivered $69 million in license revenues or 13% organic license growth year-over-year. The sales teams executed well against a solid pipeline. We closed 8 license deals over $1 million compared to 5 deals over $1 million last quarter and 1 deal over $1 million in fiscal '12 Q3. Q3 ASP was $297,000, our highest ASP in 6 quarters. 39% of our sales were with new customers, 47% were partner-related. These metrics are right in line with our expectations. As for industries, public sector, technology, financial services, services, consumer goods and basic materials were all double-digit contributors. Americas license contribution was 46%; EMEA, 44%; and APJ, 10%. EMEA and the Americas executed well within the quarter and APJ was in line. We continue to invest in sales and we expect these investments will yield results over time. As I discussed in the past, the investment areas include improved field leadership. There's a direct relationship between leadership and results and we've attracted a new generation of leadership to deliver against our EIM opportunity; second, expanding our sales capacity and coverage, including emerging markets. This includes India, Latin America, South Africa and the sub-Sahara, Eastern Europe, to name a few; improving our selling productivity; cross-selling new products into our installed base; increased pipeline and revenue generation from our existing partners while attracting new partners and building new channels; telesales, our newly formed group that will contribute in the coming quarters; and new product introduction into the field. Our sales strategy and execution is working. With Q3 performance and Q4 pipeline, we continue to expect second half fiscal 2013 over second half fiscal 2012 license growth. Let me spend some time on our services lines. The Customer Support business performed at historic highs of $166.6 million in revenue, with adjusted margins of 83.6%. The renewal rate is in the low 90% range. Both metrics were in line with our expectations. The Cloud Services businesses delivered $44.4 million in revenues within the quarter. And within the quarter, we delivered SecureiX, a new secure e-mail service. In the first 30 days, we have approximately 100 companies trialing this new service. Our cloud servers deliver secure transactions, fax, EDI, notifications and, now, secure e-mail. We are focusing on secure, enterprise quality, reliable information exchange. As for our Professional Services business, we delivered $57.6 million in revenues and 16.8% in adjusted margins. Third quarter revenues and margins were down due to timing of customer projects in North America and APJ. Customers clearly value OpenText Professional Services and this is reflected in our margin performance. Year-to-date, our cumulative margin is 23%, up 11% year-over-year. We also delivered 7 new or upgraded products within the quarter. Let me walk through this by pillar. First, discovery, our new product, InfoFusion. InfoFusion is our information access platform and is now GA. And it is an important new product for us. This is a smart in-context enterprise search product, allowing customers to fuse together content platforms with single sign-on, easy search and semantic navigation. Next pillar, BPM Assure. Our BPM focus is Assure. Assure provides prebuilt process components and a library of out-of-the-box solutions that accelerate time-to-market and time-to-value for horizontal line of business and applications from case management across HR, IT, finance and more. Assure emphasizes our recent leadership position in the Forrester's Smart Process Application wave and points to a promising future in our BPM business. And the next pillar is CEM. We introduced StreamServe 5.6. StreamServe is our market-leading customer communications platform. With enhanced usability to support for non-technical business users, to create high-impact communications in Microsoft Word and deep integration across CEM, BPM and ECM. StreamServe is built for high-volume, multichannel customer communications across the web and print. Also in CEM, Media Management. Media Management is our next-generation digital asset management solution. Media Management 7.2 is a proven market leader, recognized by Forrester and other industry analysts for helping marketing organizations create and manage their brand assets and accelerate time-to-revenue for high-impact multichannel customer campaigns. In the information exchange pillar, we introduced SecureiX. This is our innovative secure messaging platform for any to any secure e-mail communication, an exciting growth opportunity for us. In the ECM pillar, OpenText Archive is our new solution for massively scalable archival of critical enterprise information across SAP, Exchange, SharePoint and OpenText. We have integrated our archiving solutions into a single data management platform, providing faster time-to-deployment, a single source for information for archiving and discovery while allowing for reduced hardware costs. With OpenText Archive, we have offered enterprises a true single source of the truth, an ideal platform for compliance and discovery. And lastly, SAP Employee File Management. We continue to innovate in our SAP franchise with our new Employee File Management solution. With this software, we deliver on the promise of managing unstructured information tied to back-end transactional systems and on-structure data. This is our unique position of strength, enabling us to truly manage on-structure content wherever it may live within the enterprise, including ERP. It was a strong quarter of innovation across the 5 pillars. Let me turn to customer successes in the quarter. Freescale, who is extending its deployment with our information exchange solutions to build a virtual desktop infrastructure, allowing for a centralized virtual infrastructure for worldwide EDA application access. This has and will fully result in enhanced productivity for engineers, design wins and quicker time-to-market and, thus, increased revenues. The Planning Inspectorate, the U.K. government agency responsible for handling over 20,000 planning cases every year, has invested in OpenText Content Server, OpenText Template Workspaces and OpenText StreamServe. This will enable them to greatly improve their efficiency and readiness with a changing planning landscape in the U.K. RS Components, the trading brand of Electrocomponents PLC, has invested in OpenText Archive for SAP solutions for robust, secure and easy access to all archived invoices. This has enabled them to be highly organized and has given them access to all the tools they need to leverage their global presence. Other customer wins include Hydro-Québec, CGI, Volvo and Hoffman-La Roche. Let me provide a few additional important highlights from the quarter. Our executive management team has now completed the hiring of Kevin Cochrane as our CMO. Kevin joins us from Adobe and brings to OpenText an incredible track record and perspective on products, go-to-market strategies and field enablement. Kevin is a real talent and a great addition to the executive leadership team. We completed the acquisition of Resonate Knowledge Technologies, a.k.a. RKP. RKP was an OpenText partner and their products are fully integrated into our ECM products. RKP brings to OpenText customers the ability to easily create compelling user interfaces in report writing. Ease of use is a main focus for us to drive further adoption of Content Server. Further to this, our customers can expect us to place more of an emphasis on the developer and developer software. The developer makes all things possible. And we see an opportunity to create a larger ecosystem around our software and our company. Further, OpenText was honored as being named the SAP 2013 Pinnacle Award winner as SAP's #1 Go-to-Market partner. The relationship between SAP and OpenText has never been stronger. We had a strong Q3 with SAP. I'm pleased to announce that OpenText will be supporting SAP's HANA platform and offering a set of products and upgrades for OpenText's SAP customers to leverage the HANA platform. Our first native HANA solution will be available in the second half of the calendar year. Let me wrap up my prepared remarks by saying our sales strategy, our EIM strategy and our financial model are working. Our operating cash flows increased 21% year-over-year. We expect to complete fiscal 2013 in the upper end of our target range for adjusted operating margins. Our adjusted EPS is up 25% year-over-year. I'm pleased with our 13% organic license growth and we expect second half-over-second half license growth. We are investing in products and the sales force, which I'm confident will yield results. We are committed to delivering value to our stockholders through technology innovation, strategic acquisitions and, now, a quarterly dividend program. With that, let's open the call for your questions.
Operator: [Operator Instructions] And our first question comes from the line of Thanos Moschopoulos with BMO Capital Markets.
Thanos Moschopoulos - BMO Capital Markets Canada: Mark, can you provide some color around the spending environments? Over the past months, we've obviously seen some slower software growth from the likes of Oracle, IBM and SAP. And in the context of that climate, you've delivered good license number. And so can you talk about how customer demand progresses in the quarter and how the demand environment is shaping up from your perspective as you look forward into Q4?
Mark J. Barrenechea: Sure. Thanks, Thanos. Look, what we're seeing is steady demand around our governance, compliance and risk management solutions. I'd say growing demand around security, mobility, cloud and smart applications and an untapped demand around the developer. And these are the aspects that I see driving our pipeline, part of our delivery in Q3 and our expected second half-over-second half organic license growth. Now in terms of the economy, we all read the same economists in newspapers and most economies -- most economists have the GA advanced economies in eurozone between 1% and 2% growth, of course. But we're focused on our plans and what we control. And again, we see steady demand in governance, compliance, risk, growing demand around security, mobility, cloud, smart apps and really quite an untapped opportunity around the developer.
Thanos Moschopoulos - BMO Capital Markets Canada: And now should we be thinking about organic license growth in Q4 specifically as well? Or do you really want to focus your guidance more around the second half?
Mark J. Barrenechea: Yes, we don't give quarterly guidance, as you know. My comments are second half-over-second half.
Thanos Moschopoulos - BMO Capital Markets Canada: And one more for me. The cloud revenue was down a little bit relative to Q2. And so was that currency, or was that some, I guess, fallout as you're integrating EasyLink?
Mark J. Barrenechea: I don't think it's either, actually. I mean, when we look at the business, it's our third quarter operating the business. And we look at -- we've set the expectations for the first year that annual revenues will be flattish. Now again, we bought a business that had declining revenues. And this year, we're looking to have the revenues be flattish. And I think when we come in on an annual basis, we'll be right where we expected to be.
Operator: And our next question comes from the line of Richard Tse with Cormark Securities.
Richard Tse - Cormark Securities Inc., Research Division: Mark, in terms of your description of the service revenue decline, timing of deals, can you elaborate on that a little bit more?
Mark J. Barrenechea: Well, I mean, I think I'll reemphasize. When we look at PS, obviously, we would have liked to have done better in PS. But the net impact is roughly $0.06, as Paul highlighted, in PS. We don't always control -- we don't control the timing of customer acceptances. And in this case, we had some project delays in North America and in APJ that contributed to the downtick in revenue. Note again, year-to-date, our adjusted margin is 23%, up 11% year-over-year. And PS will be back on track in a quarter or 2.
Richard Tse - Cormark Securities Inc., Research Division: Okay. And then in your previous comments, you've talked about sort of increasing the sales capacity. I think the numbers have been about 20%. Like are you fully there now in terms of the sales capacity? And secondly, related to that, are all these sales guys in that position have sort of hit their full strides on quota? Like are they all trained up now? And if you can maybe elaborate on that, that would be helpful.
Mark J. Barrenechea: Yes, we hit our internal goals on capacity at the end of December. And it takes us 2 to 4 quarters to get a new AE fully on the quota and up to productivity. of course, not all AEs make it, right, for whatever reason. But we were at our capacity at the end of December, at the end of Q2. And it takes us anywhere between 2 and 4 quarters to get an AE to be productive.
Richard Tse - Cormark Securities Inc., Research Division: So essentially, based on that, you would probably think that coming in, in a new fiscal year, the sales momentum should accelerate; no?
Mark J. Barrenechea: Next quarter, we'll talk about our FY '14 plans.
Richard Tse - Cormark Securities Inc., Research Division: Okay. And then just one follow-up question. What's the environment like for acquisitions today? And how are you going to sort of balance that against your organic growth initiatives?
Mark J. Barrenechea: Yes, I mean, I'll point to my macro comment, is we're going to -- we're committed to delivering value through technology innovation, strategic acquisitions and now, with dividend, we will continue to acquire. There has not been a lot of M&A activity in the market over the last 90 days. We're patient. We look for value. We know what we want and we remain patient.
Operator: Our next question comes from the line of Scott Penner with TD Securities.
Scott Penner - TD Securities Equity Research: Mark, just 2 questions for you, if I may. I'd like to ask, first of all, for you to sort of repeat what you were talking about on the SAP HANA, when -- what sort of product you're talking about to plug in to HANA and whether this will be -- the goal is to have this as part of the reseller solution.
Mark J. Barrenechea: Sure thing. So we've looked at HANA and we think there is value for OpenText to have an in-memory solution for ECM. So customers who are searching millions of documents, millions of invoices, doing work on x millions of piece -- semi-structure, on-structure documents, we think our joint customers can benefit from having that in-memory versus living on slower disc. And I'm really proud and pleased to say that we will natively support HANA, specifically ECM as an in-memory offering, leveraging HANA. And we will have it as part of the resell relationship with SAP.
Scott Penner - TD Securities Equity Research: And timing is second half of this calendar year, is that right, or...
Mark J. Barrenechea: That's correct. Second half of the calendar year.
Scott Penner - TD Securities Equity Research: Okay. Other question for you, Mark, would be just the products that you ran through on the different pillars of EIM. What -- where do you think the most opportunities are? Is it with the InfoFusion that you've talked more about or some of the other solutions?
Mark J. Barrenechea: Yes, it's -- I'll poke on a few. I think our Archive solution is really quite phenomenal. We had a standalone Archive solution for SAP, a different solution -- a different standalone solution for Exchange, SAP, SharePoint, ours. They're now integrated. They have an integrated back end, integrated user experience. So Archive, I'm quite excited about. I also think our BPM Assure solution and having a flexible case management solution that can go across multiple lines of business. And I'll also highlight, of course, InfoFusion. We're working on version 2 and some interesting things there. And then I'll note a fourth that wasn't in the script. It's really our Tempo line, our Tempo Box plus Tempo Social. And we unveiled in our EIM days, Tempo Note, not unlike Evernote. All 3 solutions integrated together: Tempo Box, Tempo Social, Tempo Note, to the same back end as Content Server and Archive. Tempo Note goes GA at the end of this quarter. So I think the Tempo series is easy to understand by customers, easy to understand by the sales force. So Archive, our Tempo line, InfoFusion and BPM Assure would be my top 4.
Operator: Our next question comes from the line of Tom Liston with Cantor Fitzgerald.
Tom Liston - Cantor Fitzgerald Canada Corporation, Research Division: Mark, you've alluded to it a bit, but can you talk about what the main callous around the dividend was and how it relates to this M&A activity? Looked like it's slowing down a bit. Is it just simply having to borrow money cheap if you want to get there? And as importantly, going forward, what are the triggers to potentially increase that, including talking about organic growth? And is the step-function investment kind of done? Obviously, it would be ongoing investment. Can you talk about a bit the levers and why now and what might potentially increase that down the road?
Mark J. Barrenechea: Sure. Thanks, Tom. I'll start with why dividend. First and foremost, we want to widen our investor base. And we think by issuing a dividend, we'll be able to open up new conversations and attract new classes to our stock. And we think that's good for everybody. Second is our commitment to delivering value not just through innovation or acquisitions but now with dividends. I point to the fantastic engine we've built to deliver superior cash flows. We had record cash flow of $117 million in the quarter, up 20% year-over-year. Last 4 quarters, up $333 million of operating cash flow. And our business is getting more efficient. And our expectation to finish the full year at the upper end of our adjusted margin target range. So for all those reasons, the board felt that was the right time to initiate a dividend. We have all the cash we need to operate our business, to invest in products, to acquire companies and, now, to issue a dividend.
Tom Liston - Cantor Fitzgerald Canada Corporation, Research Division: A quick follow-up. On the license revenue, one of most impressive aspects was the size of big deals and the number of big deals. Can you attribute that to anyone, whether it's a vertical or just sales force getting properly up to speed or a couple of key partners? Is there 1 or 2 angles that contributed to the large deals being up so substantially year-over-year?
Mark J. Barrenechea: I would say it was just broad-based good execution. I mean, we had large deals in every geo. So I'll just say good execution.
Operator: Our next question comes from the line of Paul Treiber with RBC Capital Markets.
Paul Treiber - RBC Capital Markets, LLC, Research Division: Just going back to license revenue again. Despite the environment, I mean, as you mentioned, the execution was very good. Did you see any impact from Easter in March or sequestration? Or did you -- were you able to manage around that and that is just a reflection on your new operations team that you've put in place and the sales force ramping up?
Mark J. Barrenechea: Yes, Paul, thanks for the question. Look, we're pleased with the $69 million in license, 13% growth year-over-year. So it was just -- period, full stop, we're pleased with that. We're focused on building our plans around what we control. And again, you look at the GA, the advanced economies or the eurozone, the GDP projection for 2013 is 1% to 2%. So license growth is hard-fought and we hard-fought for our 13% growth. Sequester is not helpful. We executed around it, but it's not -- it's certainly not helpful. But what we're focused on, what I have the teams focused on, is what we own and what we control. I think our emerging market focus has been a good hedge against some of the advanced economies. And I'll point back to where we're seeing growth -- some growing demand around security and security solutions. Just sort of a new secular -- sort of a new segment for us. Mobility as well, high-driven demand for mobility. And smart applications, our new Assure solution, we're quite hopeful around. And so the $69 million, we're pleased with the execution. We're aware of the backdrop of 1% to 2% growth. And I'd say we navigated around it quite well in the quarter.
Paul Treiber - RBC Capital Markets, LLC, Research Division: And then speaking very broadly about, perhaps, like the trend in win rates over the last several quarters and last year and, also, the growth in the pipeline. Would you say both those metrics are ramping in line with your expectations at a very high level as the sales force and new sales force comes onboard and there's just less change in the organization?
Mark J. Barrenechea: Yes, I'm pleased with our pipeline growth and bringing Kevin Cochrane onboard. Kevin has been onboard a couple months and he's just a joy to work with. He's a product-oriented CMO, a go-to-market specialist. And I mean, sales force friendly and pipeline, pipeline is first principle and first mission. So Kevin has had quite an impact on the business. So I'm pleased with our pipeline growth. And that also gives us the confidence on the second half-over-second half license growth that I commented on earlier. In terms of win rates, I'm not necessarily seeing any differences in the dynamics per se.
Paul Treiber - RBC Capital Markets, LLC, Research Division: Okay. So one more and then I'll pass the line. You didn't mention the quarterly license model. Is that model still intact?
Mark J. Barrenechea: Quarterly license model?
Paul Treiber - RBC Capital Markets, LLC, Research Division: Sorry, the quarterly seasonal license model.
Paul J. McFeeters: Yes, Paul, it's Paul. Yes, well, I think every time I've commented on that in the past, I've also made the comment that if we look back over the last couple years, there's really -- hasn't been too much variability to have kind of a, I'll call it, a consistent range. So the only thing I will comment on is that, certainly, from a seasonality standpoint, we would expect Q4 to be higher than Q3. And that's probably the best I can offer at this point.
Operator: Your next question comes from the line of Kris Thompson with National Bank Financial.
Kris Thompson - National Bank Financial, Inc., Research Division: Paul, just on the maintenance renewals. The cash generated from your deferred revenue this quarter was strong, but it's a bit lower than I expected and the year-over-year was down. Can you give us some color on that figure?
Paul J. McFeeters: Yes, I think, well, first of all, I think our cash -- obviously, our cash were quite strong. So it wouldn't be anything to do if, Kris, you're asking about the actual renewal rate in itself has stayed consistent, as Mark remarked on, in the low 90s. So if anything, it will just be timing. And we don't give timing on the collections. Although, again, I think our collections, overall, was very, very strong. And as you see, the deferred revenue is up, as you expect. There's always a high percentage of renewals, as we've indicated in the past, on December. And there's usually a little bit of lag on that volume for collections in the very first quarter of renewal. So I think you'll see that recover up in the second -- or, sorry, in the fourth quarter.
Kris Thompson - National Bank Financial, Inc., Research Division: Okay. That's good. And just, I don't know, Paul or Mark, the 8 multimillion-dollar deal that you did, can you give us some color on how many were existing versus new customers?
Mark J. Barrenechea: I'd say, looking at the list, looks pretty well in line with our general new versus existing. I think it's sort of 40% new, 60% existing.
Kris Thompson - National Bank Financial, Inc., Research Division: Okay. Because I think in the last couple quarters, you've been focusing, I think, to use your words, selling more modules into your customer base. So is that still a strategy, or is it look like -- is it your new salespeople bringing in new relationships and getting new customers? Is that what we're experiencing?
Mark J. Barrenechea: Well, I think it's a variety of things. It's -- the installed base is certainly a focus for us in bringing new products or existing products to be able to expand the number of modules existing customers use. Our capacity expansion includes places where we haven't covered before. I highlighted some of the emerging markets. That's helping as well. So I'd say it's new coverage and installed base-focused.
Kris Thompson - National Bank Financial, Inc., Research Division: Okay. Just on the financial services vertical, just to kind of pick a weak area, looked like it was down year-over-year. What's happening in that vertical? Is there some new products that you require there, or that you just have some, maybe, slippage there?
Mark J. Barrenechea: No, there's really nothing, nothing to highlight there. I don't see any dynamic change. I think it's just quarter-to-quarter mix and variability.
Operator: Our next question comes from the line of Blair Abernethy with Stifel, Nicolaus.
Blair H. Abernethy - Stifel, Nicolaus & Co., Inc., Research Division: Just a couple things. Paul, just on the Resonate acquisition, what was their annual -- well, approximate annual revenue run rate?
Paul J. McFeeters: Yes, Blair, we're not going to -- we're not disclosing the revenue run rate on that. As I said in my comments, when you bring it together to OpenText, really, we were the primary customer. And so it won't -- since we're reselling that product, it won't really change our revenue run rate. It will affect our cost of sales, but we're not disclosing the amount.
Blair H. Abernethy - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And on the maintenance revenue, or the maintenance base, if you will, what's -- I mean, you talked a little bit about the renewals. How about the pricing environment for maintenance contracts, particularly in Europe given the ongoing recession there?
Paul J. McFeeters: We don't see any real difference in the trend. I mean, we're still where we can, getting some increases over renewals, hardly any sort of negotiating down. I mean, maintenance has always been a kind of a mainstay for us in terms of getting our renewal rates where they have been quite consistent, getting some increases on it. And we really haven't seen much downward movement from cancellation or reduction of renewal rates.
Blair H. Abernethy - Stifel, Nicolaus & Co., Inc., Research Division: Okay. Great. And then on the partner side of the equation. Obviously, SAP continues to be the -- your leading partner. But I wanted to, perhaps, drill in a bit more on some of the other partners outside of SAP and how they've been performing for you.
Mark J. Barrenechea: Well, we look at our partner mix within the quarter. Roughly, 47% touching partners, that's a fine ratio for us. Look, we're still focused on surrounding Microsoft SharePoint. So SAP and Microsoft are sort of the 2 most visible. We're making progress in sort of what I'd kind of say as in-country volume partners. Our partner program is also building -- taking the top 5 partners in France, top 5 partners in Germany, top 5 partners in the U.K. And those partners won't have as -- maybe as much brand recognition as some of the larger software houses. But that has been a real focus from the partner team as well. We're taking a multi-tier strategy. We're looking for large strategic partners like SAP, a technology partner relationship, some distributors, as well as what I'd call sort of in-country value-added partners. And we think that's kind of the right strategy for us.
Blair H. Abernethy - Stifel, Nicolaus & Co., Inc., Research Division: Okay. Great. And then one last quick one. I'm not sure if I missed this or not. But what is the current sales rep headcount?
Paul J. McFeeters: So we haven't disclosed the actual headcount, Blair, for a few quarters now.
Blair H. Abernethy - Stifel, Nicolaus & Co., Inc., Research Division: So you're not going to -- you're not -- are you going to give it on an annual basis?
Paul J. McFeeters: No, because we have a fair mix in the type of salespeople that we've talked about in the past. So we're just going to talk about total sales and marketing, which is at 1,100 people.
Operator: Our next question comes from the line of Paul Steep with Scotia Capital.
Paul Steep - Scotiabank Global Banking and Markets, Research Division: Mark, maybe you can talk -- just back on the dividend. What is the target payout ratio -- or maybe how does the board think about setting that initial level of dividend? And then more importantly, what is sort of the growth target or plan going forward?
Paul J. McFeeters: Yes, Paul, it's Paul. I mean, we looked at it in terms of what we thought was available operating cash mix, if you will. And we said this is about 20% of our annual cash, operating cash. And that's generally how the board looked at it, leaving significant amount of cash available for continuing with our acquisitions. From a growth standpoint, well, we can't specify how our dividends will grow over time. But as we've targeted it as a percentage of cash flow and you've seen our cash flow increase, compounded 25% over the last 7 years, it's probably how we'll think about it as the board makes a declaration quarter-to-quarter and year-to-year.
Paul Steep - Scotiabank Global Banking and Markets, Research Division: That helps. I guess the last one, then, for you as well. Just a clarification on the litigation. Does that clear up the Captaris piece? And did that, basically, put in place a license -- a longer-term license around that?
Paul J. McFeeters: Yes; and yes.
Operator: Our next question comes from the line of Stephanie Price with CIBC.
Stephanie Price - CIBC World Markets Inc., Research Division: Just getting back to the cloud and the cloud revenue that you saw in the quarter. Can you talk a bit about how much of your products are actually have been rolled out on the cloud so far? And where you are with those initiatives and what the customer response has been?
Mark J. Barrenechea: Thanks, Stephanie. So we have 2 primary offerings. We have the EasyLink products that are fully in the cloud, platform-as-a-service as we call it. And our second component, a much smaller component, though a component we're looking to grow, is our managed hosting services. And I would say that our ECM platform is fully within the available set for managed hosting today, a good part of our CEM offering. And BPM and iX is next. So I'd say about half our products are available in MHS for the cloud. And probably over the next year, as we go -- our philosophy here is as we go through the next release cycle, we want to make sure that those products are integrated into our Cloud Services layer to be able to provide all the services necessary for management, monitoring, billing, customer care, support. So I would think over the next year, as we go through every release cycle, our products will be available on-prem and in our cloud.
Stephanie Price - CIBC World Markets Inc., Research Division: Okay. And then just a last one for me. On the cross-selling initiatives, can you talk a bit about how that is going in the rollout of the integrated EIM strategy? How has the uptick been so far?
Mark J. Barrenechea: So 2 questions there. I'll start with the integrated EIM. I'd like to say that integration is never done, but in certain places, you hit critical mass. And we're making good progress. We look at our Archive solution, that is now integrated. You look at StreamServe, that's now integrated into ECM and more fully into CEM. Our Tempo Social, now integrated into our ECM offerings. So the basic philosophy we're taking were the next release of our software, the next major release for all our components that are also cloud-enabled. And we're looking over a 2 to 3 release cycle to get deeper integration of user experience, tech stack and data. So I'll say the integration is going well across our products and we're beginning to see it, both in StreamServe, Media Management, the Tempo Series, Archive. And we're just slow and steady, release after release, more deeply integrating. In terms of cross-selling, we've educated and enabled the field with, we think, the materials they need. And they're armed and off in cross-selling.
Operator: Our next question comes from the line of Michael Nemeroff with Crédit Suisse.
Michael B. Nemeroff - Crédit Suisse AG, Research Division: Nice job on the license. Just one quick follow-up on the license though. I've been asked by a couple people, was there any contribution from Resonate and the license line this quarter?
Paul J. McFeeters: No, none.
Michael B. Nemeroff - Crédit Suisse AG, Research Division: I'm sorry, that was a no?
Paul J. McFeeters: Well, no, I'm sorry, wait, it's not a no. We're here, first of all, yes, closed in March and there will be no real contribution there.
Michael B. Nemeroff - Crédit Suisse AG, Research Division: Okay. And then also just following up on some of the deferred revenue questions. I'm just trying to -- I'm looking at the deferred revenue and the growth was obviously a little bit -- it's actually been slower. It's slower this quarter than it was -- I have to go back a couple years and see that's slow. You commented that there was no pricing degradation on the renewals. And I was just wondering, what's the explanation for that deferred revenue deceleration?
Paul J. McFeeters: The -- well, I think another way of looking at it is there are actual earned -- I know your question is on deferred, but just on the recognized CS, it was a constant currency 2% growth. So one explanation is on the balance sheet, we actually have a lower -- a negative effect on currency on the balance sheet than from a year ago. So going back to our metrics that we track, renewal rates are the same as we've been -- as we've had in the past. Our actual year-over-year constant currency growth in CS is 2%, which has also been constant for the last year or so.
Operator: Our next question comes from the line of Rakesh Kumar with Susquehanna.
Rakesh Kumar - Susquehanna Financial Group, LLLP, Research Division: Mark, yes, you talked about SAP HANA and how you plan to leverage that with an ECM -- ECM solution in the future. But if you look at SAP over the last year, the growth has been moving from ERP applications to analytics and databases. So is the lack of growth in SAP ERP products impacting some of your growth in SAP HANA?
Mark J. Barrenechea: No. No, no. We see this as additive to what we're doing. We support -- if you think of the major ERP objects that we support and SAP today, we support accounts receivable through our Vendor Invoice Management solution. We support the employee object through our Employee File Management solution. We also have an Asset Management, a module talking to their transactional asset components. We think there's a lot of room to grow just within ERP, whether that ERP is on-prem or in their cloud. So we look at this as an additive solution for those customers who are running ERP in-memory or running those components in-memory. So we see still enormous opportunity straight within ERP, whether it's on-prem or in their cloud, in addition to supporting their new technology platform, HANA.
Rakesh Kumar - Susquehanna Financial Group, LLLP, Research Division: Fair. Just as a follow-up quickly on Microsoft SharePoint 2013. Any color on the type of work and use cases around the new release that you are doing?
Mark J. Barrenechea: Yes, again, when we look at 2013, we see it as a -- basically, a technology upgrade from Microsoft. We don't see it as a large functional advancement. In fact, we see them going more mid-market than into the Global 10,000. A deeper integration to Dynamics, a deeper integration to Communicator. And some of their marketing and field activities really look at SharePoint being pushed more into the mid-market. More global -- majority of our revenues come from Global 10,000 and some large governments. So we're not -- we look at SharePoint primarily as a technology upgrade, not a functional upgrade. And with that upgrade, Microsoft is also moving more to the mid-market.
Operator: [Operator Instructions] And our next question comes from the line of Richard Tse with Cormark Securities.
Richard Tse - Cormark Securities Inc., Research Division: Just one follow-up on the services again, Mark. So it was off here a bit. Would it mean that those customers did not take delivery of the license and that would be to come? Or is it recognized -- or I'm trying to get a sense of just sort of an incremental revenue stream, or will come with that one if Professional Services come back on?
Mark J. Barrenechea: Richard, thanks for the question. No, it's purely related to the PS revenue, not license revenue.
Richard Tse - Cormark Securities Inc., Research Division: Yes, there's -- isn't there like a license component to that as well?
Paul J. McFeeters: Richard, it's Paul. No. No, in many cases, customers will purchase the software and then plan for when they can keep the resources internally, as well as, of course, externally for applying Professional Services. So it's very common, in fact, to have license sales and have a Professional Services engagement.
Operator: There are no further questions in the queue. I'd like to turn the conference back over to Mr. Barrenechea for closing remarks.
Mark J. Barrenechea: Very good. I'd like to leave you with a few select highlights from the quarter. Record cash flows and dividend program; expected annual adjusted margins at the upper end of our fiscal '13 target model range; 13% year-over-year organic license growth and expected second half-over-second half license growth; and EIM strategy and financial model are working. Thank you, everyone, for participating today. And that ends today's call.
Operator: Ladies and gentlemen, this does conclude our conference for today. Thank you for your participation. You may now disconnect.